Operator: Good afternoon, ladies and gentlemen, and welcome to Taylor Morrison’s Third Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference call is being recorded. I would now like to introduce Ms. Erin Willis, Director of Investor Relations and Corporate Communications.
Erin Willis: Thank you, and welcome to Taylor Morrison’s third quarter earnings conference call. With me today are Sheryl Palmer, President and Chief Executive Officer; and Dave Cone, Vice President and Chief Financial Officer. Also in the room is Dave Hreha, our Corporate Controller. Sheryl will begin the call with an overview of our third quarter 2013 results and general market conditions. Dave will take you through a detailed financial review as well as our guidance for the fourth quarter. Sheryl will then provide some detail around our land activity and production after which we will be happy to take your questions. Please note that some of our comments on today’s conference call refer to non-GAAP financial measures, which we believe provide useful information for evaluating our business performance. This information should be considered as supplemental in nature and should not be considered an isolation or as a substitute for the related financial information prepared in accordance with GAAP. In addition, these non-GAAP financial measures may not be the same as similarly entitled measures reported by other companies. Reconciliations to the most directly comparable GAAP financial measures are available on the Investor Relations portion of our website at taylormorrison.com and in our earnings release. Finally, please keep in mind everything we cover during today’s call, including the question-and-answer session is subject to the Safe Harbor statement or forward-looking statements within the meaning of U.S. securities laws. This may include statements about our current expectations or forecast of market and economic conditions, our business activities, prospects, strategies and future business and financial performance. These forward-looking statements are not guarantees of future performance and actual results could differ materially from those suggested by our comments made during today’s conference call. I’ll call to your attention the description of risk that could affect our future results that is contained in our registration statement on Form S1 and subsequent reports filed with the SEC. Now, let me turn the call over to Sheryl Palmer.
Sheryl Palmer: Thank you, Erin, and good afternoon everyone, and thank you for joining us today. We’re very pleased to share our third quarter 2013 results, which demonstrate the continued success of our strategy and the execution of our operations.
 : We continue to operate the business in an efficient manner delivering one of the lowest cost structures in the industry. In addition, we continue to be excited about the timing and quality of the Darling acquisition, which provided entry into Dallas and gave us significant scale in Houston where we are now a top five builder. Through the diligent execution of this strategy, we continue to trend of strong results in more than three years operating profit resulting in one of the leading pre-tax margins of 13.3% in the third quarter while further strengthening our balance sheet. For the quarter, we had earnings per share of $0.43. The third quarter 2013 represented the company’s highest level of Q3 net sales orders for the last four years with 1,163 sales and a cancellation rate of 15%, while our cancellation rate as a percentage of backlog, was only 5.9%. Our U.S. home closings revenue increased a 115% while closings were 74% higher compared to the prior year period. Our adjusted gross margin excluding capitalized interest in the U.S. increased 230 basis points sequentially to 23.4%. Our overall average sales price on closed homes in the U.S. increased 24% or 76,000 year-over-year to nearly 400,000 with the greatest year-over-year increased growth from Northern California, North Florida, Phoenix and Houston. The higher average sales price homes at our Darling business in Texas also contributed to the increase. We benefit from locations in home building market that are leading the recovery in the U.S. and from various supply constrain markets in Canada that continue to be stable. We believe household formation and increasing employment in our market results in strong demand for housing. In fact, five of the top 10 employment generating metro areas in the U.S. year-to-date are home to Taylor Morrison operation. Following on the premise, the demand is created by fundamentals like job creation and household growth; we’re not surprised that Taylor Morrison markets are outperforming other U.S. markets in the volume at housing starts. Based on annualized housing starts, we are located in all of the top five and eight of the top 10 metro areas. We have seen healthy growth in our markets and have continued to see strength and demand as fundamentals remain favorable. As a result of the severity of the downturn, many markets are still behind demand and the ability to deliver homes to perspective buyers, helping fuel our long-term recovery, availability of new and existing homes remains constrained. For example from an overall housing perspective in the United States, it’s estimated that there will be approximately 950,000 housing starts in 2013, while the underlying demand for new homes supports an annual building rate closer to $1.7 million. This is based on approximately 1.2 million household formations per year, the need to replace the roughly 350,000 homes destroyed by disaster and obsolescence plus an average of 200,000 secondary homes. In all of our markets, inventory levels of existing homes are still very low. For example, the average supply within our footprint in the U.S. and Canada is only three months of supply on the resale market versus the U.S. national average of five months. This constrained supply has been most evident in Arizona and California. Our California markets continue to have the lowest supply of existing homes relative to the markets in which we operate. Other supply has increased slightly as crisis had present; there is still only 1.7 months of supply on average within our California market, similar levels of inventory are also seen in the new home market as all of our markets are considered to be undersupplied. As expected with this lack of inventory, prices have continued to rise in the effort to slow paces in some communities and maximize margin, we raised prices in over 60% of our U.S. communities in the quarter. We closely monitor the effects of changing affordability in our community. At current home prices and interest rates, our markets in the U.S. with the exception of Southern California and the bay area are more affordable for home ownership today compared to historic leverages. Supply has been particularly tight in our California market and prices have risen commensurate with the lack of available housing. Over the last two quarters, we have seen several macroeconomic factors that have impacted the home building industry this has created a unique operating environment, while home price appreciation accelerated while inventory and product delivery capabilities were constrained and the land market turned up quickly. In addition, we’ve witnessed a dramatic increase in interest rates over a short period of time and half of it all there was turmoil created by the government shutdown. Each one of these alone can meaningfully impact the market and in this case, they have all occurred seemingly at the same time. We believe that many factors such as these, as well as community positioning and normal seasonality impacted consumer confidence and homebuyer demand in the third quarter. So it’s not surprising to see some moderation or a pause in the recovery as homebuyers take a little extra time to navigate through the decision making process. To help put things in perspective, the increase in rates from May to June was in the top 4% of all monthly rate movements over the last 30 years. We anticipated rates would eventually increase, however it was the magnitude of the increased accreted market disruption and while we believe a rise in interest rates most directly impacts first-time buyers, which is a small piece of our overall product offering, the effect carries into overall consumer confidence. I found it surprising, so I thought it was worth mentioning that Taylor Morrison Homes funding, our mortgage company received more calls from buyers under contract in the first two weeks of October as interest rates declined than we did from the initial rate spike early this summer. Our new customers continue to manage and match product and specific selection to what works best with their personal budget situation. We noticed some rate movement would persist and we will continue to work closely with both prospects and buyers under contract. So that we may help them navigate successfully through the home purchase process. As we all know change of any kind good or bad requires adjustments and despite the recent volatility interest rates are back near historic lows. Our industry is the midst of an evolving recovery. In fact as I said on our last call, we believe that apart from the volatility produced by recent macro factors, this period has actually been very good for the industry and realigning customer and land seller expectations to much more rationale growth. Prices were increasing at unsustainable levels while production capacity continues to struggle to keep up with demand. Throughout all of this, we believer Taylor Morrison remains well positioned to take advantage of a continued U.S. housing market recovery. Moving our focus to our Canadian operations, Monarch’s accounted for 25% of our closings for the quarter. As expected we have seen a reduction in absorptions from the prior year period generally, due to our limited supply of offering. Supply of resell homes in the Toronto area is very limited at only 2.4 months and odd way is healthy at 4.5 months. Prices are continuing to increase in a very rationale manner. In September, existing home sales increased approximately 30% in Toronto year-over-year and we’re the third strongest in the last ten years. For the six high-rise towers to be delivered in Toronto this year and next, all of the units in our three 2013 towers are already sold with all three towers well into a successful delivery cycle. One building has already closed out and the other two are expected to close out in November and December. For our three 2014 tower deliveries, we have sold 97% of the units. For the quarter, our high-rise business delivered 395 units, of which 213 were wholly owned units and 182 were our proportionate share of JV buildings and therefore not included in our reported closings number. Cancellations continue to be at low levels aided by our stringent deposit, mortgage prequalification and Canadian legal requirements of full recourse sales contracts. Turning to our Mortgage business, in such a rapidly changing rate environment, our in-house lender Taylor Morrison Home Funding has been even more critical to the business and our ability to manage our product delivery in the U.S. As we noted in our second quarter call, we’d expected a rise in rates, so we had mitigated risk and our backlog by underwriting loans at higher rates than the prevailing interest rate. This is best evidenced by our low cancellation rate as a percentage of backlogs. We continued this practice and founded to be extremely beneficial. Especially in an environment of changing interest rates, buyers appreciate the need to discuss financing very early in the process that they can adjust expectations on monthly payments and overall financial commitments. Our capture rate remains high and in line with expectations at 79% year-to-date. The mortgage statistics for our buyers continues to be very strong with a high average loan amount and average FICO scores of 734, 65% of our buyers utilize conventional financing and 35% FHARVA. Even with historically low interest rates, we have 13% cash buyers in the quarter. As you can see the business remains solid despite the effect of macro headwinds during the quarter, obviously that’s remain optimistic about a strong and sustainable recovery although volatility and macro factors may create a bit of an even as quarter-to-quarter. Now let me turn the call over to David Cone for the financial review.
 : We continue to operate the business in an efficient manner delivering one of the lowest cost structures in the industry. In addition, we continue to be excited about the timing and quality of the Darling acquisition, which provided entry into Dallas and gave us significant scale in Houston where we are now a top five builder. Through the diligent execution of this strategy, we continue to trend of strong results in more than three years operating profit resulting in one of the leading pre-tax margins of 13.3% in the third quarter while further strengthening our balance sheet. For the quarter, we had earnings per share of $0.43. The third quarter 2013 represented the company’s highest level of Q3 net sales orders for the last four years with 1,163 sales and a cancellation rate of 15%, while our cancellation rate as a percentage of backlog, was only 5.9%. Our U.S. home closings revenue increased a 115% while closings were 74% higher compared to the prior year period. Our adjusted gross margin excluding capitalized interest in the U.S. increased 230 basis points sequentially to 23.4%. Our overall average sales price on closed homes in the U.S. increased 24% or 76,000 year-over-year to nearly 400,000 with the greatest year-over-year increased growth from Northern California, North Florida, Phoenix and Houston. The higher average sales price homes at our Darling business in Texas also contributed to the increase. We benefit from locations in home building market that are leading the recovery in the U.S. and from various supply constrain markets in Canada that continue to be stable. We believe household formation and increasing employment in our market results in strong demand for housing. In fact, five of the top 10 employment generating metro areas in the U.S. year-to-date are home to Taylor Morrison operation. Following on the premise, the demand is created by fundamentals like job creation and household growth; we’re not surprised that Taylor Morrison markets are outperforming other U.S. markets in the volume at housing starts. Based on annualized housing starts, we are located in all of the top five and eight of the top 10 metro areas. We have seen healthy growth in our markets and have continued to see strength and demand as fundamentals remain favorable. As a result of the severity of the downturn, many markets are still behind demand and the ability to deliver homes to perspective buyers, helping fuel our long-term recovery, availability of new and existing homes remains constrained. For example from an overall housing perspective in the United States, it’s estimated that there will be approximately 950,000 housing starts in 2013, while the underlying demand for new homes supports an annual building rate closer to $1.7 million. This is based on approximately 1.2 million household formations per year, the need to replace the roughly 350,000 homes destroyed by disaster and obsolescence plus an average of 200,000 secondary homes. In all of our markets, inventory levels of existing homes are still very low. For example, the average supply within our footprint in the U.S. and Canada is only three months of supply on the resale market versus the U.S. national average of five months. This constrained supply has been most evident in Arizona and California. Our California markets continue to have the lowest supply of existing homes relative to the markets in which we operate. Other supply has increased slightly as crisis had present; there is still only 1.7 months of supply on average within our California market, similar levels of inventory are also seen in the new home market as all of our markets are considered to be undersupplied. As expected with this lack of inventory, prices have continued to rise in the effort to slow paces in some communities and maximize margin, we raised prices in over 60% of our U.S. communities in the quarter. We closely monitor the effects of changing affordability in our community. At current home prices and interest rates, our markets in the U.S. with the exception of Southern California and the bay area are more affordable for home ownership today compared to historic leverages. Supply has been particularly tight in our California market and prices have risen commensurate with the lack of available housing. Over the last two quarters, we have seen several macroeconomic factors that have impacted the home building industry this has created a unique operating environment, while home price appreciation accelerated while inventory and product delivery capabilities were constrained and the land market turned up quickly. In addition, we’ve witnessed a dramatic increase in interest rates over a short period of time and half of it all there was turmoil created by the government shutdown. Each one of these alone can meaningfully impact the market and in this case, they have all occurred seemingly at the same time. We believe that many factors such as these, as well as community positioning and normal seasonality impacted consumer confidence and homebuyer demand in the third quarter. So it’s not surprising to see some moderation or a pause in the recovery as homebuyers take a little extra time to navigate through the decision making process. To help put things in perspective, the increase in rates from May to June was in the top 4% of all monthly rate movements over the last 30 years. We anticipated rates would eventually increase, however it was the magnitude of the increased accreted market disruption and while we believe a rise in interest rates most directly impacts first-time buyers, which is a small piece of our overall product offering, the effect carries into overall consumer confidence. I found it surprising, so I thought it was worth mentioning that Taylor Morrison Homes funding, our mortgage company received more calls from buyers under contract in the first two weeks of October as interest rates declined than we did from the initial rate spike early this summer. Our new customers continue to manage and match product and specific selection to what works best with their personal budget situation. We noticed some rate movement would persist and we will continue to work closely with both prospects and buyers under contract. So that we may help them navigate successfully through the home purchase process. As we all know change of any kind good or bad requires adjustments and despite the recent volatility interest rates are back near historic lows. Our industry is the midst of an evolving recovery. In fact as I said on our last call, we believe that apart from the volatility produced by recent macro factors, this period has actually been very good for the industry and realigning customer and land seller expectations to much more rationale growth. Prices were increasing at unsustainable levels while production capacity continues to struggle to keep up with demand. Throughout all of this, we believer Taylor Morrison remains well positioned to take advantage of a continued U.S. housing market recovery. Moving our focus to our Canadian operations, Monarch’s accounted for 25% of our closings for the quarter. As expected we have seen a reduction in absorptions from the prior year period generally, due to our limited supply of offering. Supply of resell homes in the Toronto area is very limited at only 2.4 months and odd way is healthy at 4.5 months. Prices are continuing to increase in a very rationale manner. In September, existing home sales increased approximately 30% in Toronto year-over-year and we’re the third strongest in the last ten years. For the six high-rise towers to be delivered in Toronto this year and next, all of the units in our three 2013 towers are already sold with all three towers well into a successful delivery cycle. One building has already closed out and the other two are expected to close out in November and December. For our three 2014 tower deliveries, we have sold 97% of the units. For the quarter, our high-rise business delivered 395 units, of which 213 were wholly owned units and 182 were our proportionate share of JV buildings and therefore not included in our reported closings number. Cancellations continue to be at low levels aided by our stringent deposit, mortgage prequalification and Canadian legal requirements of full recourse sales contracts. Turning to our Mortgage business, in such a rapidly changing rate environment, our in-house lender Taylor Morrison Home Funding has been even more critical to the business and our ability to manage our product delivery in the U.S. As we noted in our second quarter call, we’d expected a rise in rates, so we had mitigated risk and our backlog by underwriting loans at higher rates than the prevailing interest rate. This is best evidenced by our low cancellation rate as a percentage of backlogs. We continued this practice and founded to be extremely beneficial. Especially in an environment of changing interest rates, buyers appreciate the need to discuss financing very early in the process that they can adjust expectations on monthly payments and overall financial commitments. Our capture rate remains high and in line with expectations at 79% year-to-date. The mortgage statistics for our buyers continues to be very strong with a high average loan amount and average FICO scores of 734, 65% of our buyers utilize conventional financing and 35% FHARVA. Even with historically low interest rates, we have 13% cash buyers in the quarter. As you can see the business remains solid despite the effect of macro headwinds during the quarter, obviously that’s remain optimistic about a strong and sustainable recovery although volatility and macro factors may create a bit of an even as quarter-to-quarter. Now let me turn the call over to David Cone for the financial review.
C. David Cone: Thanks Sheryl and hello everyone. I’m pleased to share with you our solid results for our third quarter as we continue to execute our strategy to drive both a great home buying experience and shareholder value. As Sheryl mentioned, we had earnings per share of $0.43 on net income of $53.1 million in the third quarter of 2013. Net sales orders in our U.S. operations improved 12% to 1,018 units. Our Canadian operations had 145 net sales orders and expected decline of 33% compared to the third quarter of 2012, mostly due to a lack of wholly-owned towers available for sale in the third quarter of 2013. This resulted in consolidated net sales orders of 1,163 units, representing a 3% increase when compared to the same quarter a year ago. We ended the quarter with a robust backlog of 3,684 homes. Total backlog at quarter end was valued at nearly $1.5 billion. On a year-over-year basis, this represents a 12% increase in units, 28% in value with a 14% increase in average selling price in the backlog. In the U.S., backlog value was up 76% year-over-year to $1.1 billion with a 19% increase in average selling price to $426,000. The strength of our buyers is further evident through our recent efforts to increase the level of deposits. As a percentage of backlog in the U.S., deposits have increased year-over-year to an average of 6% in the third quarter as compared to 3.8% in the prior year quarter and includes being limited by law in California on the deposits we can retain which are capped at 3%. In the U.S., excluding California, our deposits were 7.3% versus 4.9% at the same time last year. This focus to increase our deposits provided us with roughly an additional $42 million in liquidity to build homes and obviously increases our confidence in our backlog. As we’ve been saying all year and consistent with our strategy, we expected our absorptions to slow as our mix has shifted to more move up buyers and our resulting average sales price increased. Community absorptions were 2.2 per month as compared to 3.1 per month in the third quarter of last year. The third quarter absorptions are generally in line with our expectations but candidly we were encouraged by our absorptions despite the combination of macro factors and reduced product availability as Sheryl discussed a few moments ago. We remain optimistic that this short-term pressure will alleviate as buyers recalibrate expectations. Despite these challenges, we still sold out of some communities earlier than anticipated while increasing community count by 41% over the prior year quarter to 174. Total revenue for the quarter was $634.4 million, an increase of 97% compared to $321.5 million in the third quarter of last year. Home closings revenue was $622.1 million for the quarter, a 105% improvement year-over-year. The increase was driven by an 83% increase in homes closed to 1,606 during the quarter coupled with a 12% increase in average selling price to 387,000. As Sheryl mentioned in the U.S., home closings revenue increased 115% while closed units increased 74% and the average selling price increased 76,000 or 24% year-over-year to nearly 400,000. In Canada, home closings revenue increased 79%. Canadian closed units increased 160% as we closed 213 wholly owned tower units compared to only one unit in the third quarter of 2012. Average selling price in our Canadian operations was down 17% year-over-year as expected to 352,000 due to the increased proportion of high-rise closings and the close out of higher ASP communities. Breaking down the mix of closed homes for this quarter, 44% were from the East region, 30% were from the West and 26% were from Canada. Adjusted home closings gross margin, excluding capitalized interest was 23.8% representing sequential improvement over the first half of 2013. Relative to the third quarter of 2012, our U.S. adjusted home closings gross margin increased 230 basis points to 23.4% driven by benefits from price depreciation. This improvement also includes about 20 basis points of pressure from our Darling business as we continue to work through purchase accounting which results in lower margins on the homes that were under construction at the time of our Darling acquisition, but closed in the third quarter. As expected we’ve seen moderation in our Canadian margin which has adjusted decline from 33.2% to 24.8% which drove the year-over-year North American decline. Last year we’ve benefited from higher ASP and higher margin closings. In addition, we had a greater mix of tower units during the quarter, which typically deliver a lower margin relative to our Canadian single family business. SG&A expense was $59 million or 9.5% of home closings revenue for the quarter compared to 10.7% in the same quarter of last year. The 120 basis point improvement is mainly due to driving top line leverage. In addition, I am particularly pleased that as we continue to work through the Darling integration, we are already beginning to see costs more in line with the legacy Taylor Morrison business. This is after only three quarters of combined operations. We continue to focus on maximizing overhead efficiency as this is one of our key strengths in driving higher operating profit. Equity income in our joint ventures increased to $9.4 million as compared to $3.7 million in the same period last year. The increase is primarily due to 176 closings in our joint-venture high-rise tower Couture. Our income before tax was $84.3 million or 13.3% of revenue compared to $44 million for the same period last year. Income taxes totaled $31.7 million representing an effective tax rate of 37.6%. The third quarter 2012 effective rate of 3.6% is reflective of our taxable position prior to the reversal of our deferred tax assets which occurred in the fourth quarter of last year. Turning to the balance sheet, we ended the quarter with $374 million of cash, including $19 million of restricted cash. Our net debt to capital ratio was 40.9% at the end of the quarter and we had no barrowings under our $400 million unsecured revolving credit facility. We ended the quarter with homebuilding inventories of $2.3 billion. We have 4,112 homes in inventory at the end of the quarter compared to 3,226 homes at the end of the prior year quarter. Homes and inventory at the end of the quarter consisted of 3,028 sold units, 238 model homes and 846 inventory units of which only 117 were finished. As for financial services, Taylor Morrison Home Funding generated $7.8 million of revenue during the quarter on 732 closings with an average loan amount of $301,000 representing a 52% increase in volume and a 22% increase in loan value over the prior year quarter. PMHS gross profit was $3.4 million with a gross margin rate of 43.7%. As we look towards the annual guidance, it’s been unchanged all year. For all of 2013, we anticipate our closings to increase by approximately 50% and gross margins to be accretive from 2012. SG&A, as a percentage of homebuilding revenue, is anticipated to be consistent with last year and income from unconsolidated joint ventures is expected to be approximately $33 million to $35 million. As a reminder, our full year results will include $198 million of one-time charges related to our initial public offering, early extinguishment of debt and the tax indemnification charge. For the fourth quarter of this year, we anticipate closings to increase by 25% to 30% year-over-year, while community count should be up 45% to 50%. Income from unconsolidated joint ventures is anticipated to be between $12 million and $14 million, reflecting the closings in our two Canadian JV towers. Thanks and I’ll now turn the call back to Sheryl.
Sheryl Palmer: Thanks Dave. As the homebuilding industry recovery continues to evolve, I believe it’s important to highlight our approach and reiterate how well-positioned for the future I believe we are. Our strategy continues to be built for the long-term and the results we’re releasing today exhibit how our research-based approach to underwriting and consumer segmentation, as well as our land development expertise and efficient cost structure, have continued to serve us well until the recovery. We believe the quality of our land underwriting and our well established land acquisition and development capabilities continue to drive the strength of our results as compared to the third quarter of last year. As I mentioned on the second quarter call, our forward planning process begins with a thorough analysis of consumer trend as well as opportunities found through detailed supply and demand study. Our local and national consumer segmentation continues to assist us in making a refined decision about community positioning for plant development and community amortization, and also enables us to strategically plan the trajectory of the business. For example, in our strategic planning process three years ago, we identified a gap of filters supplying move-up home buyers in core locations and so decided to shift our land acquisition focus ahead of the industry movement and are now benefiting from that research in the results we’re sharing today. On the supply side, we continued to see a very competitive land market while the improving housing market brings in new competition. We’re still sourcing quality new land opportunities. Our rate of land acquisition has slowed as we are seeing some asking prices increase in term change beyond our level of interest. We remain in the enviable position of having our land pipeline through 2014, amidst of 2015 in place enabling us to have the flexibility to be opportunistic with our land acquisition strategy. We have passed on multiple opportunities that did not appear capable of delivering our expected returns, but we are still sourcing many favorable land deals into the pipeline. The focus continues to be balancing development deals for 2016 and beyond with exceptional finish lot opportunities for near-term and so. We had not strayed from our strategy of using consumer demand and supply analysis in our underwriting process, and we remain committed to core locations where we believe buyer demand is less likely to aim. As we look further ahead, we are still well positioned with our land bank and as I mentioned have been selective and opportunistic in reinvesting in our portfolio. I get asked frequently about our land acquisition strategy and how we view the length of our pipeline. We believe the market is still on a recovery phase and so need to ensure that we keep suitable walks in the right locations in front of the business in order to meet future demand. When we see indications of lot pricing exceeding our ability to generate our expected returns, you could expect our land investment strategy to change. To position ourselves for the future, we spent $246 million in land purchases and development during the third quarter and $691 million year-to-date. As we look to the end of 2013, we are still well positioned to spend over a $1 billion in land acquisition and development. Approximately one-third of that is planned development spent. We acquired just over 2,400 new lots in the U.S. during the third quarter of 2013 bringing the North American total to just over 45,000 lots owned or controlled as of September 30, including our proportionate share of lots within our joint ventures. The distribution of lots acquired across the U.S. year-to-date include 33% in Florida, 40% in Texas, 16% in California, 9% in Phoenix Arizona and finally 2% in Denver, Colorado. The percentage of loss under control has remained a 26% in the U.S. with 74% of the company lots owned. Our U.S. land bank had approximately 9 years of supply at September 30, 2013 based on a trailing 12 months. Now turning to the production and cost side of the business, of course, it’s critical that we carefully manage the cost side of our business as we work to diligently maximize margins. With that said, the industry is still in early stages of recovering from a labor standpoint, while many of our trades are struggling to keep up with the demand we’ve seen. Our relationships with our trade have allowed us to effectively staff our communities for the volume of our closings and our price growth remains ahead of cost increases as evidenced by the improvement in our U.S. gross margins. Although some material and labor cost have increased significantly, others have stabilized. The most noteworthy change in Q3 has been the reversal in lumber prices which increased significantly compared to a steep decrease in the second quarter. However, at this point our lumber packages are slightly lower than the 2012 year-end. 2014 brings expected increases in drywall; insulation and window to name a few, while we believe common commodities that impact home building costs have stabilized for the time being. Labor prices continue to creep up; however, the impact for the third quarter was minimal. Historically, labor costs have increased as starts picked up in the first quarter. So we do expect some continued pressure into the New Year. From a supply standpoint, manufacturers have increased production and are staying ahead of our demand. We do not foresee material shortages, however, many suppliers that opted to install are struggling. We continue to work closely with the trade base to protect our upcoming deliveries. However, it’s not just the trade labor. We are seeing delays at municipalities as staffing levels remain low. We have been proactive in working with municipalities to minimize delays. We reported last quarter that many of our markets had been able to make a considerable progress towards ideal bill times due to this careful collaboration with our trade municipality, and even flow release processes. We are focused on our overall execution through the development in homebuilding operation to continue to deliver the communities and lot we need to profitably grow our business. Let me end my comment as I started. We are pleased to be able to share continued improvements in our key operational and financial metrics. We believe the foundation is set for sustainable homebuilding recovery and our strength as both a homebuilder and developer positions Taylor Morrison well as we look into the future. Lastly and most important, let me give a resounding thank you to our team and offer my heart felt appreciation for another tremendous quarter. Before we go in to Q&A, I just want to point out that you’ve heard from Erin Willis at the beginning of the call. Erin has transitioned into a lead role for Investor Relations, this complements Erin’s existing role in Corporate Communications and builds on her seven years of Taylor Morrison and her 13 years in the home building industry. We are excited to have Erin in this call and she will serve as your primary contact. Thank you. And we will now open the call to questions. Operator, please provide instructions to our callers.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) And our first question comes from Ivy Zelman from Zelman & Associates. Please state your question.
Ivy L. Zelman – Zelman Partners LLC: Thank you. Good afternoon and congratulations on the quarter guys. Sheryl, I think you gave the best opening so far for all the companies in terms of providing the overview. So you really stopped me for a good question because you covered everything. But I did want to ask you, if you wanted to play devil’s advocate and recognize that you are still confident that we have a multi-year recovery in front of us and talk about the 1.7 million starts that you outlined? What are some of the things that keep you up at night and would worry you that we could push out this recovery besides the consumer confidence, maybe more industry specific, is it some of the builders getting rational. What are some of the things that might come to attrition? And how do you think about existing inventory that we’re hearing is increasing? We recognized it’s been so constraint, so you can do that positively but would that be a concern if existing inventory increases at a fast pace, just kind of seeing the bare case and how you think about it?
Sheryl Palmer: Okay. Well, thank you, Ivy. I appreciate that. Let me see if I can kind of go back through, I think there is couple of different questions I heard. As far as what keeps us up at night or keeps me up at night I don’t sleep great, so I think about a lot of these things. But if I were to be quiet honest, it’s more on the macro level. And certainly, when I look at the healthy fundamentals, household growth, household creation, employment growth, income growth, cost and all the things you mentioned, I think that does give me confidence on a sustainable recovery, although I don’t have a great full appreciation. But the trajectory of that is when I think about what impacts our industry specifically within the sector, it does come down the land most often, Ivy. So I would say first and foremost while we continue to be able to source the right land in front of us, I’m quite pleased of the quality of land we’ve been able to put in front of the business and I want to continue to be able to do that. I think the second thing, and I did have some remarks in my opening around just a general infrastructure of the labor market. And there are many examples throughout the U.S. that I could point to where we actually could have – there has been a greater demand than the industry has been able to serve, and I think it’s going to take a little longer than people, than maybe we can anticipate in some markets to fully staff that, but can’t believe the flip side of that is that continues to give us great pricing power. So if I had to take it down to a couple of things outside of the macro and what happens in February in Washington, it probably does come down to continuing to source that land in front of us, the labor pool. And then I think on the flip side, I think you asked, as you know I do believe that if we continue to see I mean over the last few years, we’ve seen income growth deteriorate as we can see household income grow over the next few years, I think that’s actually going to provide even a greater trajectory for the industry.
Ivy L. Zelman – Zelman Partners LLC: Now Sheryl, with the total of order growth that you saw in the quarter, and recognizing we’ve seen some hesitancy by the buyers in the market. Do you feel that that hesitancy is starting to diminish, is your traffic starting to convert at a little bit of a healthier level sort of looking at normal seasonality and taking into consideration. And if you’ve have confidence that we’ll see an acceleration maybe in the spring selling season. What gives you that confidence maybe if you can help us as we realize we are in the pause right now or at least a slower pace with still strong pricing power?
Sheryl Palmer: Our traffic Ivy is roughly up 50% year-over-year probably closer to flat without Darling. As you look for patterns within the markets on our traffic, I would tell you that there is no real pattern, one market it’s slightly up, one month it’s slightly down. It generally seems to center more around openings, community openings and events within our communities. So I think traffic continues to be very community specific. When I look to the spring selling season without being redundant I really do believe, it comes back to all the things that we’ve been talking about and that I’m sad. The combination of all those things from an underlying fundamental that really does gives me great confidence that we are going to have a lot of strength in our spring selling season. We’d see a lot of excitement in the buyers and we have a lot new community openings that were quite pleased over the next three, four, five months. So I’m candidly very, very excited about the first quarter.
Ivy L. Zelman – Zelman Partners LLC: Thank you Sheryl, I’ll get in the queue I appreciate it.
Sheryl Palmer: Thank you.
Operator: Our next question comes from Adam Rudiger from Wells Fargo Securities. Please state your question.
Adam P. Rudiger – Wells Fargo Securities, LLC: Hi, thanks for taking my question. I was wondering if you…
Sheryl Palmer: Hi, Adam.
Adam P. Rudiger – Wells Fargo Securities, LLC: Hi, if you could help a little bit with just kind of frame some overall absorption pace goals for next year, I think the little weaker than or lot weaker than I think when you were expecting this quarter and so just wanted to try to – if you could get those expectations inline a little bit more and maybe see what, you’ve talked about what the sweet spot would be for absorptions in your opinion.
Sheryl Palmer: Yes, I’m happy to address that. It’s an interesting topic Adam because our sweet spot is on a community by community basis. And so as Dave I think – Dave and I both alluded to in the script with our 2.2. When we look at the price trajectory the businesses had year-over-year, I mean you look at what’s happened to our price in backlog and our price in closings, we’ve seen significant growth and with that growth came at different level of underwriting expectation. So we are actually quite consistent with how we wrote those deals, so we have some communities Adam that we will underwrite at one to two a month. We have some communities that we might underwrite four to five. So it’s kind of a funny thing because if you go back to the spring, when things were so, so hard and actually if you even go back to the fall of last year, summer fall last year, communities would open, and you would end up with blowing the doors down, to be quite honest and you’d get these four, five, six a month and you’d be raising prices because you really underwrote that land to sell to a month. And so you continue to raise prices and get it down to four, and then three, and then two and then I hear things like this that it disappoints people when we get to two, when that is actually the pace we wanted to get here. So as our price continues to increase, you’ll see a moderation in our pace.
Adam P. Rudiger – Wells Fargo Securities, LLC: So just looking into next year then if assuming prices and margins stay where they are, or even appreciate some more, should we expect the pace more similar to this quarter than we saw in the first half?
Sheryl Palmer: Yes, once again it will have seasonal impacts, but if you assume that our pay, our price is going to stay relatively consistent or move up and you would expect to see a very similar pace that we’ve seen.
Adam P. Rudiger – Wells Fargo Securities, LLC: Okay, thank you.
Sheryl Palmer: My pleasure.
Operator: Our next question comes from Nishu Sood from Deutsche Bank. Please state your question.
Nishu Sood – Deutsche Bank Research: Thanks, I wanted to ask about the margin trajectory, in the U.S. in particular you’ve had a pretty nice gross margin trend in the past couple of quarters continued into the third quarter with the soft demand that we’re seeing, I knew as you mentioned it might affected your results as well. Some of the other builders have been talking about a potential reversal in gross margin trends, leveling out as land prices continue to rise and as pricing strategy has changed. So my question for you was for Taylor Morrison, do you think that the gross margins can continue to rise throughout the recovery or do you also see the likelihood at that some stage there will be a change to the trajectory? 
Sheryl Palmer: You want to take that Dave?
C. David Cone: Yes, Nishu. Hey, if we’re talking more in lines of maybe the peak margin, I think that’s a little bit hard to say, that’s more driven by overall market. So we’ll have to see things like consumer confidence or household income that would arise, that would give us pricing power which would hopefully drive margins, but until then I think we see more modest price depreciation ahead of cost. As we look over, look out to the Q4 and even into Q1 looking at the U.S., our backlog is what gives us some confidence there. So we feel like we’re still going to be able to drive some accretive margins there in that short-term kind of beyond that again, that have to go back to the overall market.
Sheryl Palmer: Hey, Nishu the only thing I would add to that is we really do believe that from our land bank kind of our historic land bank that continues to serve us well. Over time it really going to come down to the new land in the residual that comes through the P&L.
C. David Cone: And on an overall basis Nishu I know you’re talking about U.S., but we do have a little bit of a headwind from our Canadian operations as those margins are moderating from kind of a high 20% range down to something more in the kind of low to mid-20. So overall, it does eat a little bit up what we’re seeing on the U.S. side.
Nishu Sood – Deutsche Bank Research: Got it, that’s terrific, that’s very helpful. My second question on community count expansion, your folks have had amongst the strongest growth trajectories in community count and obviously, as your product mix migrates particularly with the acquisition of Darling, and your land spend, I think if I did the math correctly, slowed somewhat in the third quarter, although it might accelerate in the fourth quarter. How are you looking at the 25% to 30% goal you have been talking about for community kind of expansion for 2014, given current circumstances are you thinking about pulling back from that or you’re going ahead with that?
C. David Cone: As we look out, we’re still comfortable with the 25% to 30% range, I mean we still think that there is opportunity out there to get good deals and we still believe in the long-term fundamentals of the recovery. So we still feel that now is the time to acquire land into open communities.
Sheryl Palmer: And candidly, most of that is already in the pipeline and in progress. So the only things that will impact that number as we look forward that most likely Nishu would be things that we actually pull into this year instead of first quarter or if we have any municipality delays for some of the stuff that is anticipated later in the year, but generally we feel good.
Nishu Sood – Deutsche Bank Research: Okay, thank you.
Sheryl Palmer: You bet.
Operator: Our next question comes from Michael Rehaut from JPMorgan. Please state your question.
Michael J. Rehaut – JPMorgan Securities LLC: Hi, good afternoon everyone.
Sheryl Palmer: Hey, Michael. 
Michael J. Rehaut – JPMorgan Securities LLC: Hi. The first question on monthly sales trends, I was hoping you could help on that and I believe you’d mentioned a little bit of October traffic. I was just trying to get a sense; different builders have given us different peaks into their month-to-month during the third quarter, some with September being the best month, some with August even being the best month. I was hoping if you could give us a sense of how the sales pace on average particularly in the U.S. business progressed and any sense in terms of how October did on a year-over-year basis?
Sheryl Palmer: We actually had a higher sales per community in October than September, but that is a very slight marginal difference, Michael. August was actually our best, if you look from August through October on a per sale per community, but they are all in a pretty tight range.
Michael J. Rehaut – JPMorgan Securities LLC: Okay. And the price increases, you mentioned you had 60%, over 60% of your U.S. communities, you raised price I was wondering if you could give us a sense of what that was in the previous quarter and I’d presume that the magnitude of the price increase this past quarter must have been relatively low given the software sales space?
Sheryl Palmer: Yes, that’s a fair assumption. I mean, I would go back to the notes from last quarter, I’m pretty certain it was 80%, 85% of the communities had price increases. So certainly there would be some change, but I got to tell you as I look at the price increases this year, you have same environment as last I mean this quarter you have similar environment to last quarter where we still had a number of price increases a little bit more modest. But they could have been depending on the market, it’s very difficult to give averages, I don’t think they’re very representative. But depending on the market, we could have seen half a point to 3%.
Michael J. Rehaut – JPMorgan Securities LLC: Great, and then just one last technical one that the tax rate at 37.6 in the quarter, going forward I believe we had modeled in a roughly to similar type rate of 37.5 on an annualized basis. David is that still a good number to use?
C. David Cone: Yes, I think once we get beyond 2013 it’s probably more in the neighborhood of 38 to 39, but when you get to that the Q4 rate is probably going to be similar to what we saw in Q3.
Michael J. Rehaut – JPMorgan Securities LLC: Okay, great. Thank you. 
Sheryl Palmer: Thank you. 
Operator: Our next question comes from Dan Oppenheim from Credit Suisse. Please state your question.
Unidentified Analyst: Hi, this is actually Will on for Dan.
Sheryl Palmer: Hi, Will.
Unidentified Analyst: Hi. First question is what are you seeing competitors do on price and incentives and how are you planning to respond if your competitors become a little bit more aggressive given the softer demand that we’ve been seeing in our charts?
Sheryl Palmer: Yes and good question. Well, I would tell you that it’s all over the Board, and that is not a macro plan, so you have to really look at every community and what makes the more sense. If I have a competitor that being very aggressive to close out of the community, I’m probably going to weigh them up. I’m not going to discount the value of our product and our community based on somebody else’s action. If somebody has a little bit longer kind of pipeline there, you might respond a little different and you look for different ways to create value for the customer. But generally, our communities we have to –our job is to present the greatest value to the customer and our product does that, our execution does that and we’ll continue to focus on those things. And I think the last thing I would add to that well, is I think, I’ve seen a little bit more discipline through the cycle that I have in prior cycles that I’m hopeful that all the builders will continue and to do the right thing and the quality of our locations, I really do believe that set us apart.
Unidentified Analyst: Okay, thank you, that’s very helpful. And then a follow-up question, on the G&A line, saw a nice step down versus 2Q, you talked a little bit about the synergies you are getting from Darling. Is there anything else driving that and how should we think about a run rate for that line item going forward.
C. David Cone: Yes. From an overall perspective for the quarter, if you look at Darling, Darling didn’t really impact that line since they are more in line with our general costs. So what you really saw is more of the top line growth just driving that leverage. And then when you look at more of an ongoing basis, I think somewhere in between a 9% and 10% is probably where it will be.
Unidentified Analyst: So I meant more on the – just the actual dollar amount for G&A, sorry.
C. David Cone: From a dollar, just give me a second here. It’s going to be a mix of fixed and variable GAAP based on the closing, so it’s probably easier for me to speak to it in terms of homebuilding, revenue as a percentage than the straight dollars. But if you look at our overall structure, about half our costs in that line are variable and half are fixed. So, you’ll see that leverage driven up that fixed component.
Unidentified Analyst: Okay, thank you.
Operator: Our next question comes from the line of Eli Hackel from Goldman Sachs. Please state your question.
Eli C. Hackel – Goldman Sachs & Co.: Thanks, good afternoon. Sheryl, just one quick question, just to start off I think you mentioned community positioning was one of the reasons for the pause, I’m just curious exactly what you meant by that.
Sheryl Palmer: So all I remember that Eli was, every community has a downside of circumstances and you might not have availability of a certain lot size let’s like we have one community I’ll point too here in Phoenix, where we have three lot positions. Though we sell-through, our lot position their own availability created kind of our pace issue. So every community is going to have a different set of circumstances as you travel through the country.
Eli C. Hackel – Goldman Sachs & Co.: Got it, thanks. And you talked a little bit about it, but I just sort of reiteration there you have been pretty consistent on your strategy of doing the research targeting that move up buyer, clearly, a lot of people are going after the same type of demographic. Did that impact anything you are seeing on a go-forward basis, I guess you maybe limiting a little bit more land spend, but how does that impact the story over the next couple of years, if at all?
Sheryl Palmer: I don’t know that it limits the story to be honest Eli. I think what’s important for us, even though that might be kind of what I’ll call our bread and butter that first time move-up, second time move-up buyer, it’s really about core locations. We really do believe, no matter what happens if you look through a quarter blip or you look few years down the road, if the market softens, if you are in the right places, the demand will still be there and you’ll still be up and you’ll have a different price kind of opportunity, then you do if you move away from the course. So I think we have the flexibility in our land acquisition strategy and probably as important, we have the flexibility within our communities with our large developments, that if there is an imbalance in supply to meet a particular consumer group, we have the ability to do that.
C. David Cone: If I could add there also its one of the advantages to overall strategy is the development capability as well. So we are able to take advantage of different parts of the land maybe some of our competitors cannot if they don’t have that development expertise. So it does give us a slight competitive advantage there as well.
Eli C. Hackel - Goldman Sachs & Co.: Great, thanks so much. I appreciate it.
Sheryl Palmer: Thank you.
Operator: Our next question comes from Jack Micenko from SIG. Please state your question.
Jack Micenko – Susquehanna Financial Group LLLP:
 :
Sheryl Palmer: Give me a second. And I can tell you that. And I’m sorry Jack, just to make sure I heard you correctly. You said new communities in the fourth quarter?
Jack Micenko – Susquehanna Financial Group LLLP: Yes, net new, so I have a number, look that we had to come up with that 15 or 20 communities in total.
Sheryl Palmer: Yes Jack, that’s – it’s closer to your…
C. David Cone: 20 number.
Sheryl Palmer: 20 number actually.
Jack Micenko – Susquehanna Financial Group LLLP: Okay, great. And then your community count guidance had been pretty aggressive through the transaction and the fillings and remains so today. Did we sort of slowdown in pace and was that contemplated in the community count guidance as sort of moving down and moving from the sort of 8 to 10 down to 6, 7. Was that contemplated in the community count growth number or is it possible that we could see maybe a slower community count number growth rate in 2013 and 2014 and 2015 if the pace kind of stays closer to where it’s at?
Sheryl Palmer: No, I’m sorry Jack as I mentioned when we underwrite a community, with each community, we anticipate a certain pace and so in our community count growth projection, what we never really did in our forecast to the group was without a pace of one month or four months that it really doesn’t impact the community number.
Jack Micenko – Susquehanna Financial Group LLLP: Okay, okay. And then the size of the working capital benefit to the deposit side, I mean you’ve got a pretty low count rate, is there anything else behind that sort of motivated the company and the sort of work on getting a bigger percentage of deposit?
C. David Cone: Obviously, the working capital is a big piece of that, but also larger deposit gives us greater confidence that we are going to take that buyer to close, so it just helps secure that pipeline a little bit more.
Jack Micenko – Susquehanna Financial Group LLLP: Okay, but there is nothing competitive around, there is anything like that?
Sheryl Palmer: No, not at all. The market allowed for it, candidly, as we shifted I think there is one other thing that I would say drives it. As you kind of move your business from building inventory homes to putting a new home in the ground for somebody and you are about to put a $400,000 home in the ground, it’s not an unreasonable request I guess somewhere around the 7% deposit to do that. And then, as we move up in the food chain from a buyer type standpoints that actually it affords us an opportunity because they have the funds to be able to do it. The average LTVs support it and so there is no reason not to take advantage of that.
Jack Micenko – Susquehanna Financial Group LLLP: Great, thank you.
Sheryl Palmer: Thank you.
Operator: Our next question comes from Jay Mccanless from Sterne, Agee. Please state your question.
Jay Mccanless – Sterne, Agee & Leach Inc.: All right, thanks for taking my question. Just wonder to go bit further on that if I understand you correct with increase in the deposits, did that have or what effect do you think that had on the order pace this quarter and are you rethinking that strategy given the deceleration that you are seeing from orders per community in the first quarter to what you saw in the third quarter?
Sheryl Palmer: Now, I’d tell you that there is not a relationship between the pace and the deposit. I think that has been a very prudent approach of our operators in the field which have allowed us to secure the backlog, but no I want to say that there is a correlation between pace and deposits.
Jay Mccanless – Sterne, Agee & Leach Inc.: Okay, and then what about backlog absorption going into 2014. Should we expect if you are going for a more well healed buyer, bigger house I’m assuming should we expect a slower absorption pace as it theoretically should take those homes longer to get constructed. Is that the right way to think about this?
Sheryl Palmer: Yes, I mean one because I mean I think there are two ways to look at it. The first would be on the sales side and yes, when we sell a higher price term we don’t expect to sell as many per month. And then two on the construction side and you are right, we might not turn those quite as quick. So we might have two different constructions schedules within our community. So you might have a 50 foot product that might be 120 days, calendar days and then you might have an 80 foot product that might be closer to five to six months. So it’s a balancing act.
Jay Mccanless – Sterne, Agee & Leach Inc.: Okay, great thank you.
Sheryl Palmer: Thank you.
Operator: Our next question comes from Alex Barron from Housing Research Center. Please state your question.
Alex Barron – Housing Research Center, LLC: Good afternoon guys.
Sheryl Palmer: Hi.
Alex Barron – Housing Research Center, LLC: I wanted to see this – just help a little bit I think you probably mentioned and maybe I just didn’t hear it, but wanted some help with the delivery expectations for your Canada business, since it’s a little bit lumpy due to the towers. I mean this quarter you guys had 400 deliveries on the consolidated side and I heard you say you are going to deliver two towers this quarter. So roughly how many units are we talking about and are they on the consolidated or on the joint venture side?
Sheryl Palmer: So we’ll be delivering two towers in – one in November and one in December and on core is, yeah, so both of them are JV towers and so they will not come through our steps.
Alex Barron – Housing Research Center, LLC: And in between both of them how many units are we talking roughly?
Sheryl Palmer: It would be 747. I’m sorry there’s 879 and ours would be half of that.
Alex Barron – Housing Research Center, LLC: All right and then I guess just a general accounting question if you can help us understand, why or how is it that you guys are breaking the – on the balance sheet and on the income statement the principal equityholders interest separately. I guess I had assumed that they were owning basic shares like everybody else.
C. David Cone: They do, but Alex we have to break it out because they have different economic rights. As an example, the principal sponsors don’t – they are not allowed to have dividends, so because of the varying economic rights we break them out, but when you look at our fully diluted basis the EPS is the same for a Class A or a Class B share. 
Alex Barron – Housing Research Center, LLC: Okay, got it. All right, thank you.
Sheryl Palmer: Thank you.
Operator: And our final question comes from Jim Krapfel from Morningstar. Please state your question.
James Krapfel – Morningstar Research: Hi, good afternoon everyone. As we think about gross margins over the next couple of years, is there an inflexion point where higher underwritten land really starts to flow through the P&L?
C. David Cone: Yes, over time the land residual is going to go up, but I think as far as what does that impact to the overall margin that kind of goes back to my earlier comments Jim about, we have to see where the market goes from a pricing power perspective. So if we see things like consumer confidence, household income start to increase, we could see a little bit more tailwind on that pricing power that could drive margins.
James Krapfel – Morningstar Research: Okay and then what kind of inflation are you seeing in labor costs and would you expect that to moderate at all in the coming quarters?
Sheryl Palmer: Can you say that one more time?
James Krapfel – Morningstar Research: Sure, what kind of inflation are you seeing in labor costs and do you expect that to moderate at all?
Sheryl Palmer: Yes, I think it’s going to be a little bit of a mix to add between labor and commodities. As I mentioned, I think we are going to continue to see some pricing, some costing pressure, as we move into 2014. I don’t expect that it will be as significant as we’ve seen this year, but it’s hard to be certain, but I think all in total we will continue to keep pricing front of costs.
James Krapfel – Morningstar Research: Okay, so right now you’re seeing any mid-single digit type labor inflation, is that….
Sheryl Palmer: That’s a fair way. 
James Krapfel – Morningstar Research: Okay, thank you. 